Luis Rial Ubago: Good morning. On behalf of Telecom Argentina, I would like to thank everybody for participating on this conference call. The participants of today's conference call are Roberto Nobile, Chief Executive Officer; Gabriel Blasi, Chief Financial Officer, and myself, Luis Rial Ubago, Head of Investor Relations. The purpose of this call is to share with you the results of the first quarter ended on March 31, 2023. If you have not received a press release or presentation, you can call our investor relations office to request the documents or download them from the Investor Relations section of our website located at inversores.telecom.com.ar. I would like to go over some safe harbor information and other details of the quarter. We would like to clarify that during the conference call and Q&A session, we could mention certain forward-looking statements about Telecom's future performance, plans, strategies and objectives. Such statements are subject to uncertainties that could cause Telecom's actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effects of ongoing and economic regulations, possible changes in the demand for Telecom's products and services, the effects of potential changes in general market and economic conditions and in legislation. Our press release, a copy of which was included in a Form 6-K and sent to the SEC, describes certain factors that may affect any forward-looking statements that could be mentioned during this call. The company has reflected the effects of the inflation adjustment adopted by Resolution 777/18 of the Comision Nacional de Valores, or CNV, which establishes that the re-expression will be applied to the annual financial statements for intermediate and special periods ended as of and including December 31, 2018. Accordingly, the reported figures corresponding to the first quarter 2024 included the effects of the adoption of inflationary accounting in accordance with IAS 29. In this presentation, we will also include figures in historical values which are easier to understand. Our press release is complemented by our next presentation. Please read the disclaimer contained in Slide 1 and Slide 2 of this presentation. Today, we will go over our business and financial highlights and end the call with a Q&A session. Now, let me pass the call to Gabriel, CFO, who will start with the presentation.
Gabriel Blasi: Thank you, Luis. Good morning, and welcome to everyone. Slide 3 summarizes our highlights as of March 31 of 2024. Our main operational and financial achievements were our EBITDA margin during the first quarter of '24 was 30.3%. Thanks to our effective cost management and pricing strategy, our margin remained steady in a year-over-year basis despite the challenging macroeconomic environment. In the first quarter of 2024, our CapEx was approximately $122 million equivalent to 15% of our revenues. The current focus of our CapEx is on expansion of our FTTH technology, as well as expanding our mobile network and developing 5G. Our cash flow generation remains strong. During the first quarter of 2024, we were able to generate approximately $116 million in free cash flow before dividends and interest payments. Due to the real appreciation of the peso observed during the first quarter of 2024, we've registered a net income profit of ARS675 million associated with real exchange differences gains included in our financial results. This is mostly generated by the effect of macro variables over our debt in U.S. dollars. Our mobile subscriber base continues to grow increasing over 3% year-over-year. Mobile data usage measured in average monthly gigabytes per user has grown 21%. In broadband, our FTTH accesses keep growing rapidly. And during the last quarter, they have contributed to increase our customer base, while our HFC network has remained mostly stable. Flow unique customers reached almost 1.5 million increasing 12% year-over-year. Additionally, our Pay TV businesses continue to grow in Paraguay. Our FinTech, Personal Pay holds a relevant market position reaching more than 2.5 million onboarded clients as of March 2024, while consolidating as the second player in the market in terms of clients' remunerated account balances. We registered a strong improvement in our financial net debt to EBITDA ratio, indicating a reduction of the relative leverage at the company's strong resilience to FX depreciation. As of March 2024, our debt split is about 60% in cross border instruments coming from more than 95% in 2018. Slide 4 shows the company figures of 2024. Telecom's revenues totaled almost $800 million. Revenues measured in constant pesos decreased 18% year-over-year as inflation remained very high during the first quarter of the year. Nonetheless, our EBITDA improved in U.S. dollars amounted to $240 million equivalent during the first quarter of 2024, an increase in 11% against the fourth quarter of 2023. Our EBITDA margin was 30.3% holding steady compared with the first quarter of 2023. Telecom's mobile subscribers in Argentina amounted 21.2 million increasing in more than 680,000 when compared to 2023. Broadband and Pay TV clients have totaled 4.1 million and 3.3 million respectively. Fixed voice subscribers considered IP telephone lines amounting 2.8 million during 2024. Our regional operations remain very solid. We are the second most important player in the mobile market in Paraguay and in the Pay TV market in Uruguay with 2.4 million and 116,000 respectively. Slide 5 shows our price adjustment during 2024. The accumulated inflation in Argentina for the third quarter of 2024 was 51.6%, while year-over-year inflation as of March reached 287.9%. We continue to adjust our prices in a monthly basis during the first quarter of 2024 in a very high inflation scenario. Even in this challenging context, the quarter-over-quarter service revenues evolution in real terms improved during the first quarter. It is important to highlight that our pricing strategy is also focused on minimizing the stress that price increases generate over our subscriber base. And in that sense, we are not passing 100% of inflation due to retention actions, mainly discounts and promotion granted to our clients. Moving to Slide 6, it shows the evolution of our products. As mentioned before, our pricing strategy has yielded good results in terms of the evolution of our subscriber base. In our mobile segment, as we mentioned before, we have observed a total increase of more than 680,000 subscribers, representing an increase of 3.3% year-over-year. This was mainly related with good performance of our prepaid segment, where we registered a stronger customer recharge rate. We managed to increase our subscriber base for the sixth quarter in a row. Our postpaid subscriber base has increased since the fourth quarter of 2024 by 0.7%, reversing the decreasing trend observed during 2023. Our postpaid participation of our total mobile subscribers continued to be strong, reaching 39% of our total mobile customer base. In our broadband segment, we have observed growth in FTTH accesses while our HFC accesses have remained relatively steady. Thanks to this, we have been able to register growth both in the quarter-over-quarter and year-over-year comparison and stabilize our broadband subscriber base in a challenging competitive environment. In turn, we have observed a reduction in xDSL accesses, which we are migrating to FTTH. In Pay TV, our Flow platform continued to perform well and our Pay TV accesses have remained steady quarter-over-quarter. In the first quarter '24, Flow's unique customers reached almost 1.5 million increasing by 162,000 clients or 12% when compared to the same period of 2023. Flow Flex, our broadband subscription modality, also delivered good results during the first quarter of '24 amounting to over 120,000 subs. The reduction of subs in our total Pay TV customer base is in line with the decrease observed in the market as a whole for this segment. Thus, our market share has remained constant. Our fixed voice segment continued to register a reduction in accesses mainly in our traditional fixed copper network, which we are replacing partially with new IP telephone accesses over our HFC and FTTH networks. Slide 7 shows the breakdown of our revenues. Service revenues totaled over ARS586 million has decreased in 16% in real terms versus the first quarter of 2023 showing a 214% nominal rise mostly due to the price increases we performed. Our revenue breakdown as of March '24 showed an increase in the participation of fixed and data services when compared to March '23 fueled by the growth observed in our B2B segment. In this segment, contracts are set following the FX evolution. This also reflects on the increased participation of dollar-linked revenues in our total service revenues. Mobile represents 41% of the revenues. Broadband and Pay TV add up to almost another 40%. The rest is composed of fixed telephone and data revenues, representing 40% of our revenues and equipment sales 4.7%. Moving to Slide 8, it shows our regional operations. Our operation in Paraguay is performing very well. We are the second most important player in the mobile market with 2.4 million customers. And we also have fixed broadband and Pay TV offering in that country with 285,000 and 107,000 subscribers respectively. We have a FinTech business in Paraguay through our digital wallet, billetera personal counting with 305,000 clients, which has been rebranded as Personal Pay since April 2024. This is our first step in integration of our regional FinTech businesses. This operation has a strong EBITDA margin of almost 50%, while the remaining almost unlevered with a net debt EBITDA ratio of only 0.11 -- 11x. Our operation in Uruguay is currently focused on Pay TV, and we have 160,000 Pay TV customers there. We have potential to grow in the local broadband market as we are obtaining licenses to offer the service in certain locations in the country. In Chile, Ubiquo brand's vision is to strengthen the cybersecurity business in the region and to provide solutions that best adapt to customer needs. There we are expanding our presence in the market and growing our customer base. In Slide 9, we present how we are building our digital business ecosystem. We offer B2B solutions and services to accompany the digital evolution process of companies. In response to the constant changes demanded by the market, we maintain our strategy to position ourselves as an integrated service provider for large customers by offering convergent ICT solutions, including fixed and mobile voice, data, Internet, multimedia data center and application services through sales, consulting, management and specialized and targeted post sale customer services. This business segment represents around 18% of our revenue as of the third quarter of 2024. We expect to continue increasing this figure substantially in the future. We presented the first connectivity cluster in rural areas. The project aims to cover an area of more than 500,000 hectares with continued connectivity, where Telecom will enable the new mobile sites with 4G technology and IoT networks. Our B2B segment has been gaining participation in our revenues due to the fact that contracts are set following the FX evolution. This is a market where the growth potential is very high, and we expect to increase the participation of our B2B segment in coming years. We are also presenting the FinTech business with our digital wallet, Personal Pay, which currently accounts with more than 25 million onboarded clients. We launched a year ago, and in an industry with exponential growth, we already have a relevant position. During this year, it has incorporated new functionality of remunerated balances for all of its users. As of March 2024, we have funds from our client invested in mutual funds for our ARS170 million and our FinTech is the second most important in terms of clients' account balances in the market. I will now pass the call to Luis, who will go over our financial performance.
Luis Rial Ubago: Thank you very much Roberto. In Slide 10, we provide an overview of our main financial figures. Consolidated revenues grew by 207% on nominal terms during 2024, reaching more than ARS615 million. When analyzing said figure adjusted by inflation, revenues amounted to almost ARS684 million, showing a decrease of 18% in real terms versus the same period in 2023. We increased our prices, but we also focused on maintaining our subscriber base. And in this sense, the lack of inflation in our revenues is explained among others by the effect of certain discounts and promotions we granted price increases to retain our customers in a strong competitive environment. EBITDA increased by 228% year-over-year in nominal terms, generating a nominal EBITDA margin of 32.8% and '24. In turn, EBITDA margin in real terms was 30.3%. Additionally, our operating costs before D&A have also grown below inflation, decreasing 18% in real terms versus the 1Q of 2023. We have continued to manage our cost structure to reduce the impact of inflation. OpEx in U.S. dollars represented 13.5% of our total operating expenses as of the first quarter of 2024. In March 2024, we reached the fourth quarter in a row, maintaining or increasing our quarterly margin compared to the same period of the year before. This is a good indicator that our pricing and cost management strategies are guiding us in the right direction, taking into account the difficult macroeconomic situation in Argentina. Slide 11 shows the evolution of EBITDA year-over-year and the impact of different components of revenues and costs. During the first quarter of 2024, the company was able to contain the pressure coming from inflation in most of its cost lines, as most of them experienced a decrease or remained in line when compared with inflation. Particularly, we had good results in labor costs. During this quarter, we observed that in average, salaries have increased below inflation. Salaries have started to decouple versus inflation since December of 2023, and this has contributed positively to our EBITDA margin. We registered good performance additionally in programming and content costs, commission and advertising costs and some other items such as bad debt. The company's efforts have been very successful as evidenced by most cost lines keeping the same share of our revenues, with almost every cost line decreasing more than our revenues in real terms. This allowed us to maintain our EBITDA margin in the first quarter of 2024 in a year-over-year basis despite the decrease in revenues. Slide 12 shows the company's net results and EBIT. EBIT decreased in the first quarter of 2024 due to higher D&A expenses. The operating margin during the first quarter of '24 was minus 3.8% of consolidated revenues and in historical figures, the same margin was 26%. Due to the result of high inflation and stable FX, during the first quarter of 2024, the company had a net income of ARS675 million. These results are financial in nature. The strong appreciation experienced by the peso in real terms during the quarter generated positive results, mainly in connection with our financial debt denominated in foreign currency. This led to positive exchange differences in real terms, which amounted to ARS951 million during the first quarter of 2024. Slide 13 displays a summary of the company's CapEx, PP&E and intangible assets during 2024, which amounted to almost ARS105 million or an equivalent of $122 million at the official FX rate. This amount is more than 6% higher when compared to the previous year in constant pesos. Our consolidated amount of CapEx for the 1Q of '24 represented more than 15% of our revenues. Technical CapEx was mainly composed by investments in our access network and technology. During the first quarter 2024, 26 new mobile sites were deployed while other 149, 16 sites were upgraded. We partnered with over 100 5G sites working in the 3.5 gigahertz band and we expect to count with 200 sites as of the end of 2024. In our fixed access network, we increased the deployment of new FTTH over 1,200 new blocks, including the overlay of our HFC network. We also improved the upstream capacity of our HFC network by 3,000 blocks. The balance of our CapEx was allocated to installations and customer premise equipment or CPE, which are installations and equipment in the homes of our clients and to our international operations. Slide 14 describes our cash flow generation during 2024 compared with the same period of 2023. Our cash flow generation remained very robust, factoring in the macroeconomic situation in Argentina. It has been affected mostly by a lower EBITDA in real terms. Our cash flow generation before dividends and interest payments was equivalent to US$116 million. Slide 15 shows our key figures for 2024. The conversion to U.S. dollars is obtained dividing the figures in constant pesos as of the end of each period and using the end of period spot effects for each year. Our gross debt amounted to $2.8 million as of March 31, 2024. The company holds cash and equivalents for $533 million having a net debt of about $2.3 billion. We have built a liquidity reserve in U.S. dollar denominated sovereign bonds, which have significantly increased market value. EBITDA for the last 12 months as of the end of first quarter of 2024 using the aforementioned conversion method for figures invested to U.S. dollars was approximately equivalent to $971 million. Last 12 months' EBITDA as of March 2024 in U.S. dollars increased by 35% versus the same figure as of December 2023. This is an important increase and shows that the company's ability to recover operating profit in U.S. dollars is high and that -- it is resilient to FX depreciation. Slide 16 gives more insight regarding the impact of the macroeconomic situation and our figures and the debt. After the huge devaluation occurred by the end of 2023, our main figures, among others, credit clearance and EBITDA experienced a decrease while measured in U.S. dollars. Because of this, our net debt EBITDA ratio increased temporarily. And in order to talk with the macro volatility during this year, in March 2024, we requested and obtained waivers from our loans creditors, which allowed us to increase the net debt EBITDA maintenance ratio about the originally established level, raising it to 3.75x. Thanks to our effective pricing policy and the FX stabilization, we have been able to increase our main figures measured in dollar terms, resulting in a net debt EBITDA ratio more aligned with levels before the December 2023 devaluation. In fact and nonetheless, there is still considerable dispersion in the estimates. During 2024, the market is expecting in general terms, a real appreciation for the peso. EBITDA might sustain in current levels if this type of macro scenario finally comes through. Lastly, we have to add additional debt to subscribe corporeal bonds in order to sell the commercial debt generated by the restrictions to asset FX market during the past administration. This is the solution provided by the central bank to address this situation. Slide 17 shows the breakdown of our financial debt. Total outstanding debt as of March '24 amounted to more than $2.7 million. We currently have a pre maturity profile. We have access to the official exchange market for other of our maturity scale according to current central bank regulations. As mentioned before, we have been working to increase the participation of peso denominated debt issued in local capital markets. Now-a-days, our gross border debt is 59% of our total debt. We expect to continue accessing the local capital markets for potential financing needs during this year, as we have been doing lately. We will also explore the possibility of executing some greater liability management transaction abroad in order to manage our longer term maturities if we find the market conditions appealing. In Slide 18, we conclude with some final remarks underlining some favorable highlights of the company. We've managed to maintain our EBITDA margin in a challenging context in Argentina. We managed to grow our customer base in mobile and broadband and stabilized by TV in a very competitive environment. We have shown resiliency versus the FX depreciation allowing us to strongly recover the figures in U.S. dollars. And finally, the company's financial management continues on the right track. We have a solid and stable free cash flow generation before dividends and interest payments, generation --generating between $400 million and $500 million annually during the last years, considering ordinary CapEx for each year. Our cash position is strong and is mostly denominated in U.S. dollar investments, allowing us to lower the peso liabilities. And with this, now we are more than pleased to answer any questions you may have. However, before we start, we would like to remind you how you can address your questions during the Q&A session, which we will open immediately. Please use the raise hand button to let us know that you want to formulate a question. We will let you know when it's your turn to speak, and we will unmute you so you can proceed with your question. Thank you very much.
End of Q&A: